Operator: I am turning the call over to CEO, Matthew Stecker for an announcement.
Matthew Stecker: Okay, thank you, ladies and gentlemen who have joined the call. I am regretful to announce that at the last minute we've hit a snag filings our financials. Nothing major, but we've had our accounting firm ask for some tax related work that they've never asked for before at the 11th and 99, 100th hour. So we are filing a press release right now that says we will release the earnings on Thursday. We do not anticipate any problems getting this work cleared by then, but we will then release the earnings after the market on Thursday and do our earnings call then. But I do wanted to come on the call because we found out about it at such a late hour that I knew that people were going to be on the call. So I leave an open invitation if anyone wants to followup with the investor relations line if they have questions. Again there are no disagreements, just some extra work that they've asked us for that we anticipate clearing up in the next 24 hours or so, we've left us till Thursday just to be, to air on the side of infinite caution we don’t imagine we'll have any snags reporting by then. But then again we didn’t imagine we'd have any snags reporting today. But that is the schedule. I apologize for taking your time today and I look forward to speaking with you on Thursday and hopefully you guys can all make that and potentially even some more. So I look forward to speaking to you then and having our earnings public and again I'm sorry for this last minute change of plans, but thank you for being on the call. So operator, with that, we're going to close up today's call.
Operator: Ladies and gentlemen, thank you for your participation in today conference. This concludes the program. You may now disconnect.
Q - :